Stephen Mikkelsen: Thank you, and good morning, good afternoon or good evening, depending on where you're dialing in from. Today, we are here to present the full year results for FY '24. Presenting with me today is Warrick Ranson, our CFO. Rob Thompson, our Global Chief Commercial Officer, is also here with me and Warrick. The presentation has been lodged with the ASX, along with the results release. First up, I will run through an overview of the results, take a look at where the market is at and then focus on the progress we have made in implementing our business strategy, particularly in North America. Warrick will then take us through the financials. At the end, I will return to talk about the outlook, after which we will have Q&A. I will turn straight to Slide 5, which covers an overview of the results. There is no doubt when you look at the year-on-year comparison of the results, it was a difficult year. Warrick is going to dissect the results in some detail in later slides. So, let me just make 3 overall comments. Firstly, it is a better result than we thought when we updated the market in early May. If you recall at that time, we were seeing a weaker second half from ANZ and SAR and a somewhat better second half from U.K. and North America. ANZ, in fact, delivered a very similar second half, which was great and U.K. and NAM delivered their improvements. Accordingly, underlying EBIT came in around $43 million, whereas we were originally thinking more $20 million to $25 million. So overall, it was an encouraging second half performance from the metal business. Secondly, sales volumes for the full year were down by 1.7% despite being up a little at the half year and we also had the benefit of a full 6 months of volumes in the second half from Baltimore Scrap. This volume reduction was deliberate as we concentrated on improving margins and not just getting volume for volume sake. And we are starting to see the benefits of this. Thirdly, we need to show even more diligence on our operating costs. Yes, a significant part of the increase was due to acquisitions, but inflationary pressures are proving to be stubborn. Turning to Slide 6. I'm very proud of what we have achieved here. It can be easy in tougher times for safety to slip as everyone focuses on financial improvements. We didn't let that happen. And despite integrating 17 new sites, our total recordable injury frequency rate is now below 1. I genuinely believe we have achieved this through focusing on lead indicators. The next couple of slides look at the market. Firstly, on Slide 7, we look at 4 trends contributing to the overall market dynamics. In the top left-hand box, you have Chinese steel exports, including 2024 annualized numbers. China is exporting a lot of steel. And this is depressing prices in Asia, which is directly impacting on our West Coast NAM and Australia regions that export scrap to Asia and indirectly East Coast NAM and U.K. where we export to Turkey. Turkish producers are increasingly using imported slab and billets from China and Russia, reducing their reliance on U.S. scrap. Additionally, Turkey consumed more domestic scrap, which was made available after the earthquake, further subduing the demand for imported scrap. The U.S. scrap market has remained relatively strong, largely due to the significant share of electric arc furnace steel production. Continued growth is anticipated, supported by policy and regulatory protections. The top right-hand box highlights the ever-increasing demand for scrap in the U.S.A., which underpins our strategic focus on this region. The 2 bottom charts help explain why scrap is currently in short supply. Durable goods sales are down, which reduces shredder feed and people are holding on to their cars longer, resulting in further reductions. Turning to pricing dynamics in the market on Slide 8. Ferrous prices have been reasonably stable over the last couple of years. And overall, the FY '24 average is pretty similar to FY '23 at a reasonably healthy $400 per tonne. Historically, a number that would have seen pretty good flows of scrap. However, inflationary pressures on the cost of collecting scrap and less scrap in the market for the reasons given on the previous slide means that the price is going to have to increase to stimulate further scrap arisings. Freight costs have risen over the year, but is still below the FY '23 average. Zorba prices were healthy in FY '23 and have increased even further in FY '24 due to the continued strong non-ferrous prices. Slide 9 expands on our disclosure at the half year, where we used pie chart to show our relative performance across the regions in 3 different areas. One, the sourcing of scrap from dealers compared to other sources; two, domestic sales compared to export sales; and three, unprocessed intake compared to processed intake. This slide shows the movement by region in each of those areas, first half versus second half. The most pleasing aspect for me was the significant 8 percentage point increase in unprocessed material that NAM achieved. This assisted in improving the second half EBIT result in NAM. Even more tellingly, with the significant EBIT improvement in the fourth quarter as the benefits of buying unprocessed scrap started to materialize. All the pie charts we presented at the half year are available in the appendix. Moving on to a strategic update commencing on Slide 11. This slide provides a nice summary of our updated business strategy. I will leave you to read this slide in detail, but let me summarize a few key points. Importantly, our purpose to Create a World Without Waste to Preserve our Planet hasn't changed. However, following the sale of the U.K. and closed loop businesses, we have differently tightened our operational footprint to the United States, Australia and New Zealand. Additionally, we have our high growth prospect in SLS to repurpose the cloud. Our redefined strategic priorities reflect where we want to take the business; elevating supplier and customer centricity, simplifying business structures and using data to improve our market responsiveness, a much bigger focus on margin from both sourcing and production perspectives. Global logistics are important to our success, particularly in ensuring we deliver product to the most valuable market. We must deliver all the operational and commercial priorities within a robust financial management framework. Finally, there needs to be a cultural shift. It's not a cultural revolution. Rather, it is emphasizing the importance of being agile in a volatile market and taking accountability for making decisions closer to the coal phase. Slide 12 provides a little more detail on how we have commenced simplifying structures to improve our market responsiveness. The executive team reporting to me has been simplified and reduced to 6 people. By following this simplification mantra down through our organization, we have removed 206 roles, saving an annualized $46 million. Turning to Slide 13. From a commercial perspective, there were 2 major initiatives we worked on in the second half. The first was the U.K. strategic review and this has now concluded with the sale of UK Metal. The second was turning around the financial performance of North American Metal. Various buy-side and sell-side improvements are listed on the left-hand side of the slide, but it is the tangible outcome of these initiatives I want to highlight. You can see in the top left-hand chart, we have improved our optionality to switch between domestic and export sales, depending on market conditions. This is further reinforced in the bottom left-hand chart, where the more domestic-oriented freight modes have increased year-on-year and this has provided more optionality. Our shredder utilization has improved in the second half as we purchased more unprocessed scrap. It is also worth noting the chart on the bottom right showing a 32% increase in the ferrous buy/sell spread. Internally, we find this a very useful way of looking at how effectively we are buying from a margin perspective. It removes some of the noise in the accounting trading margin arising from things such as the weighted average cost of inventory, timing of historic sales, overhead costs imputed into inventory, revenue recognition rules, et cetera. It simply calculates how much did we pay for scrap in the month compared to the FOB selling price for that month. You can see the improvement in NAM second half on first half. Slide 14 highlights some of the cultural changes that helped deliver the improvements highlighted on Slide 13, particularly around being agile and accountable. We made significant organizational changes, streamlining or refreshing a total of 12 key roles. To strengthen our team, we brought in new talent from outside the organization. Additionally, we expanded the roles of 2 key talents acquired from Baltimore Scrap and NEMT, ensuring we have the right leadership in place to drive our strategy forward. We enhanced oversight by temporarily aligning NAM's commercial leadership under our Global CCO, Rob Thompson, with a graduated succession plan in place to ensure smooth leadership and continuity in our strategic direction. Finally, we've also empowered our teams by providing them with critical data enabling better decision-making and more strategic alignment. Slide 15 shows the 4 major acquisitions that we have made in NAM and looks at the rationale, execution and future opportunities for each. I'm not going to read out all the boxes, but I do want to highlight a few things. Firstly, the consistent rationale for all the acquisitions is that they add to the strength of our existing portfolio. Therefore, from a strategic execution perspective, it was very important to ensure that they operated to the benefit of our whole portfolio, not the individual businesses that we acquired. Now that these acquisitions have been successfully integrated, our focus is on expanding and strengthening our footprint in ferrous and non-ferrous. We are at different stages with each acquisition. And while some are fully embedded, others like NEMT and Baltimore Scrap will require additional optimization work as we continue to improve the NAM portfolio. However, they present upside potential and we are excited about the opportunities that brings. A change of pace on Slide 16, as we look at the SLS business. Clearly, it has had a very good financial year, delivering well over a 100% EBIT increase on the prior year. It has proven its business model and is ready to continue its growth. We don't see any major changes to its strategy to deliver that growth. It will continue to expand its footprint through quality-led execution, improved productivity and optimize its scale through the further use of robotic and digital technology. It remains a relatively capital-light business, which assists in delivering shareholder value. My final slide before handing over to Warrick is Slide 17. Financial year '24 can be characterized as a very tough market. With the notable exception of SLS, all regions delivered lower EBIT in FY '24 than FY '23. ANZ and SA Recycling performed very well in the tough market. NAM and U.K. struggled, particularly in the first half. On this slide, we highlight the initiatives we have undertaken and in many cases, will continue to undertake. None of them relied on assistance from the market and we're, therefore, within the things that we can control. I believe they have laid the foundation to improve performance even in the event that current tough markets persist. I'll hand over to Warrick now for a more detailed look at the financials.
Warrick Ranson: Thanks, Stephen, and good morning, everyone. Before I move on to the numbers, just to point out that with the sale of the U.K. operations, we've moved that asset to one held for sale in the financial statements. That requires we reclassify it and the comparative numbers as a discontinued operation. However, for the purpose of this presentation, we've included the U.K. in most of our analysis. It really has been a year of 2 halves for us with a better-than-expected result reported for the second half of the year. As expected, we did have a softer result for SAR, but managed to deliver a stronger result in ANZ despite the predicted headwinds from Chinese steel exports with improved non-ferrous pricing providing some relief, particularly during the latter part of the year. We subsequently recorded an improved second half EBIT of $29.5 million. The statutory loss was principally influenced by higher financing charges and a review of the carrying value of a number of operating assets as we continue to work towards getting our network composition right. We also had some significant closure and dilapidation costs in the U.K. These items were offset, of course, by the net after-tax gain from the sale of the LMS asset as reflected in our first half results. I'll come back and talk about some of the influences on our cost base in subsequent slides. And of course, the team is available to respond to any specific items you may wish to delve into post the call. Stephen has already touched on the improved margin performance in the second half, so I won't dwell too long on this slide. But just to point out that while year-on-year, we broadly managed to maintain our margin position against revenue, it was primarily due to a significant improvement in our trading performance in the latter part of the year after a disappointing first half, where the business' focus was clearly on gaining volume in an increasingly competitive market. The results from a significant restructuring of the commercial team and their more disciplined approach to buying activity came through, in particular in the fourth quarter as they embedded new systems and processes, contributing significantly to the second half earnings uplift. Moving to the specific segment performance now and beginning with Slide 21. In the U.S., the Baltimore Northeast Metal acquisitions added around 350,000 tonnes on average to our intake in sales volumes and SAR's volumes were influenced by the addition of its ship-breaking business and smaller additional acquisitions throughout the year. We are able to maintain volumes in ANZ with solid industrial scrap sourcing, although total group volumes reflected the challenging market dynamics and our strategic refocus in the second half on value over volume. Despite a gradual increase in the Baltic Dry Index during the year, we saw a reduction in total freight charges as shipping costs returned to their pre-COVID levels and container rates, in particular, reduced. Of course, we also had more tonnes staying domestically in North America. Our total revenue base this year was split around 2/3 ferrous and 1/3 non-ferrous with non-ferrous sales increasing by over 30% compared to the prior year, with the average selling price increasing by some 11%. Just on this point, as Stephen mentioned, I think there's an interesting disconnect in regional markets at the moment on the price of scrap, where intake volumes in both the industrial and retail markets are being constrained from lower economic activity and yet the supply of scrap can't keep up with end customer demand. Our view is that these market dynamics are overdue for a correction. I'll touch on each of our operating segments in the subsequent slides. But before I do, I think it's worth just comparing our half-on-half results where we were able to improve our performance across all our directly managed areas. Improved margin performance in NAM, the closure of non-productive sites in the U.K. and a reduced cost base have all worked to achieve a better-than-expected outcome, while the market itself has continued to tighten. Our expectation of a weaker second half for ANZ was counted by improved non-ferrous position towards the end of the year, as I mentioned. Clearly, we have more work to do across all these areas, but some green shoots are starting to emerge here. We're also working on taking a stronger risk-based approach as to how we think about the business and the areas we need to be focused on and creating competitive advantage as a result. Importantly, it's not just about the megatrends, but how we ensure the delivery of returns throughout the cycle and create value that is somewhat independent of commodity prices. We need to continue to work on getting our supply chain right, make the organization more innovative and agile and using our significant infrastructure network to maximize market optionality. Moving to each segment now. And in North America, infeed volumes contracted in line with market conditions despite the addition of Baltimore Scrap from November. As Stephen mentioned, we pursued our strategy of increasing the level of unprocessed tonnes and improving our shredder utilization. Underlying costs actually improved year-on-year pre-acquisitions despite continuing inflationary pressures across a number of areas. A weaker Aussie dollar through the year added around $19 million to the U.S. cost base when restated to Australian dollars. We received a lower contribution from SAR reflective of the market conditions and the trading shift required following that significant fall-off in steel prices, which we saw in the third quarter. Operating costs for the joint venture increased as the business continued to acquire small tuck-in acquisitions through the year. In ANZ, we continue to maintain a well-balanced market portfolio, providing us with a level of flexibility to respond to market movements. We've got a strong purchasing program in regional and mining volumes, which has helped margin levels. Significant cost pressures remain evident through the year, particularly for labor and waste disposal charges though. We're able to fill a number of long-standing operational vacancies this year, but also experienced higher fuel and electricity costs. Just to note that $13 million of the cost increase relates to reclassifications on the prior year, with $8 million in NFSR processing costs, which had previously been allocated to trading margin and around $5 million in rental income on our Pinkenba site, which was not renewed. The tightness in supply, which we've talked about was particularly evident in the U.K. results. The lack of available material reduced intake volumes with a number of major dealer suppliers switching to direct container shipping in response to available pricing before reverting to deep sea volumes in the latter part of the year, which then helped uplift margins. Overall margin performance was, however, also assisted by a favorable currency exchange, although we did produce premium product low copper shred, which similarly added to costs. Site rationalization kept second half costs stable. Moving to Slide 27 now. And excluding the internal realignment of the precious metals business, which is now part of the broader Metals segment, we experienced a 20% uplift in revenue at SLS. And with the delivery of an additional 2.3 million repurposed units in FY '24, we exceeded our May guidance while broadening our customer base and increasing our service offering. Major hyperscale activities supporting the growth in AI continued to make this business an exciting component of the Sims portfolio. I'll cover the primary cost drivers in the next slide, but just to note that the divested operation covers the LMS business and as previously advised, a number of the costs for Sims Resource Renewal are for the Rocklea pilot plant, which are one-off in nature. I'll move to the next slide to provide some color on the operating cost for the year and then cover the central function and corporate costs thereafter. Firstly, FX has been a significant influence on our cost base when we consider this in A dollar terms. Only about 20% of our operating costs are actually A dollar denominated. We saw the Aussie lose ground from as high at the beginning of the calendar year and any sustained strengthening of the Australian dollar is unlikely in the near term. We added $74 million to our cost base in the period through acquisitions, principally from a full period of Northeast Metals as well as the addition of Baltimore Scrap in Q2. On people costs, we've experienced around a 3% to 5% uplift in our wage levels given inflationary pressures, which is about half the overall increase. We employed an additional 70 people into the Australian operations as we moved to fill critical operational roles that have been left vacant through the recent bout of labor and skills shortages and added additional roles into the SLS business in line with its growth activities. In Australia, we experienced an upwards of 30% uplift in state and regulatory levels on waste disposal. And we picked up $8 million in additional system and restructuring implementation costs centrally as we work to improve our information and data capabilities. Employee incentive costs reflect the improved full year performance outcome from both ANZ and SLS and the retirement of certain senior executives. The majority of the cost savings related to the management delayering, which Stephen has talked about. At Sims, we carry a number of costs centrally as part of our functional model to achieve scale efficiencies and consistency of process. Only about 40% of the amount we show within corporate costs are directly attributable to running the portfolio. And this year, these included a number of costs related to the restructuring as well as the progression of the U.K. strategic review. The closeout of our ERP upgrade project added to system project costs and we commenced the replacement of our primary weighbridge operating system, which will maintain these costs in FY '25 as we target a 2026 deployment. Just to come back to the cost reductions. If you recall at the half, we set ourselves a target to reduce our overall cost base on an annualized basis of some $70 million to $90 million over the next 24 months, with about 60% of that to be executed in the year. Pleasingly, we have achieved around 80% of our intended labor savings, which has offset some of the additional costs we are now incurring with additional wage and superannuation adjustments. However, as reflected on the previous cost waterfall slides, we've seen additional costs come into the business in areas such as additional system support, insurance, leasing charges and a range of general inflationary impacts across the board. It's fair to say we have much more work to do in this area and we're working through these opportunities, particularly given the recent announcement on the U.K. Moving briefly now to cash and capital. Operating cash inclusive of interest costs at just on $202 million reflected a lower earnings result, a lower distribution from SA Recycling, higher interest payments and lower tax remittances. In line with our existing capital management strategy, we recycled funds from the LMS sale into the Baltimore acquisition. And as previously noted, we had a residual contingent liability on the Alumisource transaction. General and sustaining capital remain sensibly constrained given the operating performance and we kept our previous guidance levels for sustaining capital. We paid a full year dividend of just under $41 million for the 2023 financial year and the Board determined not to pay an interim dividend for the half year given the company's operating performance. We ended the year with net debt of just on $400 million. Just before I hand back to Stephen, I wanted to touch on capital management and how we're thinking about that. Of course, both the sale of the UK Metal and our residual interest in circular services are welcome contributions to cash given the difficult market environment that the industry is experiencing. Our priority is certainly to pay down debt and strengthen the balance sheet. Both management and the Board remain cognizant though of the need to balance maintaining financial flexibility, being able to advance appropriate business growth opportunities and ensuring we provide shareholders with returns along the journey. We've actually got a broader capital management strategy review happening at the moment and I'll be able to talk to this in the coming months. However, based on our improved operating performance and expected cash inflows over the coming months, the Board approved the determination of a fully franked final dividend for the 2024 financial year. Back to you, Stephen.
Stephen Mikkelsen: Thanks, Warrick. The final slide before we open up for Q&A is Slide 36, which looks at the outlook. As we move forward, we expect our more agile sales approach and data-driven strategies to support NAM's ongoing recovery despite intense competition for scrap supply. We remain optimistic about the sustained strength in Zorba prices driven by the energy transition and decarbonization. The hyperscaler data center market is expected to maintain its strong momentum, providing positive opportunities for SLS. Our balance sheet will be strengthened as we redeploy transaction proceeds, positioning us well for future opportunities. Global steel demand is expected to remain muted with economic indicators showing little improvement and Chinese steel exports continuing to affect the market. Persistent inflationary pressures call for further cost reduction efforts. The macro trends haven't changed. There is incontrovertible evidence that the demand for scrap is increasing as the steel, copper and aluminum industries decarbonize. From a data center and cloud perspective, if anything, the growth has just got stronger with the commercial arrival of artificial intelligence. Before we move to Q&A, I want to take a moment to thank all Sims employees. It's been a year of big transitions. But through it all, you've shown incredible resilience, your commitment to safety and your adaptability are deeply appreciated. Back to you, operator.
Operator: [Operator Instructions] Your first question comes from Paul Young with Goldman Sachs.
Paul Young: Stephen, Warrick, hope you well, fresh set of eyes on the business, great to see the progress you're making on asset sales and also the cost reduction. And with the UK sale, a good outcome there. And I think that sale shows that you're undervalued on a replacement value basis. So, I know you're doing a capital management review, but how do you look at the potential for a buyback versus further bolt-on acquisitions, considering that it does appear you're well undervalued?
Warrick Ranson: Good day, Paul, it's Warrick here. Look, I think the first thing is to think about our debt levels. We need to be -- make sure that we are resilient through the cycle. And I think strengthening the balance sheet is part of that. As I said in the slides, also having a think about how we make sure that there's returns to shareholders. But I think that it will ultimately come down to the sort of levels that we're at, at the time. So, we obviously have to bank that cash first and that's our focus at the moment.
Paul Young: So, I'm reading that if that buyback is an option you'll consider?
Warrick Ranson: Yes. Yes, we would always put that on the table. It will just depend on where we're at, at the time.
Paul Young: And then moving to the business. I'm just trying to square away SAR, which actually did quite well on a margin basis in the period and year-on-year and ANZ, but trying to square away the intake volumes, which were up sharply, but sales volumes weren't understanding that you mentioned the ship-breaking business and the 11 small acquisitions. But why didn't SAR sales volumes improve? Just trying to square that away?
Stephen Mikkelsen: Yes. Let me -- I know Rob has a good appreciation of SA Recycling. So let me, Rob, maybe you could provide some thoughts on that.
Robert Thompson: Yes. I think generally speaking, the market size year-over-year has shrunk. The U.S. market, where a lot of the scrap that SA produces and gathers was down around 2% year-over-year. We're still seeing that happen this year as well in the '24 calendar year. So, I think that's where you're seeing some of that volume come off and there's definitely a sharp competition for a shrinking market.
Stephen Mikkelsen: I mean the other thing I would add is the year-end, there can always be issues around ship slipping revenue recognition. All of those things have -- so I wouldn't be reading overly too much into it. I think the -- your overriding comment that SA Recycling had a good year is the correct comment. I wouldn't be reading too much into how particular year-end movements happen on volumes purchased versus volumes sold, given that it is quite easy to move stuff in from 1 month to the next.
Paul Young: Okay. And then just last question on the ANZ business, which, again, did really well, really resilient. I see that your export volumes actually came down a little bit, looking at the pie charts on Slide 41. So, thanks for showing that again. But just curious about that because we've heard from some of the local steel producers that they might be paring back on their scrap consumption. Was that related to potentially build of inventory related to BlueScope's expansion in New Zealand?
Stephen Mikkelsen: Let me let Rob deal with that one. As the Chief Commercial Officer, he's been fully across obviously the ANZ second half result in particular, which was better than we expected.
Robert Thompson: Yes. What we did see in the first half was a pretty resilient export market. Second half was a bit of a different chapter. We did see some of the volumes come down a little bit, export market was fairly flat, whereas the domestic market in our fourth quarter started to slow down a little bit domestically.
Paul Young: And that's Australia and New Zealand?
Robert Thompson: Yes, it was.
Operator: Your next question comes from Lee Power with UBS.
Lee Power: Stephen, just on Slide 13 of your [indiscernible] pack, you have ferrous by sales spread. Like where do you think given kind of the dynamics of the industry now that has obviously changed significantly? Like where do you think a trading margin should probably sit for your business? There's obviously been some recovery in that chart you've given us and then it seems to have just flatlined. I'm just trying to work out what you think is actually an achievable margin.
Stephen Mikkelsen: Yes. A couple of points on that. Firstly, this chart here is the first time we've shown this particular way of looking at the business. It's one we've always used internally. I do want to highlight that it's all about being directionally correct. As I said at the beginning, it simply takes what do we buy for versus what was the market, not necessarily the price that we sold for, but what was the market price at that same time to look for what is the spread at that particular time in the market. Clearly, we view that it can continue to increase because eventually, it does reflect itself in trading margin percentage and NAM's trading margin percentage, in particular did fall over the last couple of years as we may be focused too much on volume over margin. We've picked that up in the second half and you've already seen off the top of my head, I think it was about a 1 or 1.1 percentage increase in the trading margin for NAM second half on first half. NAM has previously had trading margins percentages up in the early 20s, maybe mid-20s at times, probably more early 20s. And recently, it's been below 20% on a trading margin percentage. We are getting it back up to that. I mean, my view is at the end of the day, in the long term, scrap is what's required by the market. We should be seeing increases in prices for scrap in order to get more scrap out of the market and we'll see an increase in our trading margin percentage as well. So, I don't -- and for me personally, we should be getting back to those type of trading margin percentages we experienced a few years ago in the -- certainly in the nearly 20% for NAM.
Lee Power: Okay. Perfect. And then your comments just around price and that driving volumes. I guess we've seen prices kind of above the point where we would have historically seen volumes being driven and yet it kind of hasn't happened. Do you have a view around what type of price, scrap price we need to actually get that volume number moving again?
Stephen Mikkelsen: Look, it's an interesting question. I wish I could give you the exact answer. So, let me try and give you an answer around it. I mean, firstly, you derived at a $350, $400 ferrous price 3 or 4 years ago, that would have been really sufficient to have a nice liquid market, scrap market coming out. But as I said, the things that are impacting us is the inflationary costs and definitely it costs more to collect that scrap and there's scrap coming out because durable goods are down and examples of the vehicles being held for longer. Having said all of that, those conditions can't continue because the demand for scrap increases in contributor. There is an absolute increase for the demand for scrap, which will drive prices up. Now, I don't know, are we saying it it's -- I mean, I'm looking at Rob across the desk here, it's a little bit hard to know, but is $450 the new $350, and it's that type of number, which will get us back to where we were because that will cover off the inflation increases. Certainly, it will do that. And then somewhat independently, somewhat independently will be when people start putting their refrigerators, their washing machines, their dishwashers whatever going to landfill as they are buying new ones. There's no doubt there was a glut of that happened over COVID as people bought things rather than did things. So that is somewhat independently priced. But I don't know, Rob, if you want to add, I would have thought maybe $450 is the new $350.
Robert Thompson: Yes. I think sum it up, we're definitely experiencing higher lows than in the past. And what Stephen said is very true if you think through the supply chain from wage inflation to energy and gas prices, the lower that we go through the dealer level to the peddler level, it's more difficult, more costly for those individuals to go and pick up scrap. So, we're definitely going to have to motivate that and the supply elasticity or price supply elasticity is all a part of that.
Lee Power: And then maybe just a final one, if I can, for Warrick. Can you just -- look, if I look at the NTA of the business, I think it was $12.40 at the last result, now $11.70. It looks like you've written up the U.K. assets, though. Obviously, there's a sale ongoing. I'm assuming there's some sort of tax liability sitting in there as well, just maybe step through what's actually changed and the kind of the mechanics of that as it's kind of a step back, obviously.
Warrick Ranson: There's a few factors. So obviously, when we think about the operating performance, increase in some of our lease costs, lease liabilities and debt position. So, we can do a breakdown for you, though, Lee and sort of come back. Yes.
Lee Power: I just meant more divisionally, like is there something -- like I wasn't sure what you do, whether you book the tax for the UK sale. And then I was probably surprised that it all gets written up now. I'd just thought to be counted differently. And I noticed there was seem to be some other changes divisionally. But yes, if there's no simple answer, then I'm happy to kind of take it offline.
Stephen Mikkelsen: I think that's a good idea so that we can give you the fully fledged answer to that. It's always complicated when I said, it's sold and discontinued. Let's get -- we'll do that.
Operator: The next question comes from Daniel Kang with CLSA.
Daniel Kang: Stephen, I just had a quick question in terms of strategy. ANZ portfolio has changed quite meaningfully in recent years. More recently, exiting U.K. and LMS and purchasing Baltimore. And my question is, are you comfortable with where the portfolio sits at this point in time?
Stephen Mikkelsen: I am comfortable where the portfolio sits. I think refocusing on Australia, New Zealand and U.S. and particularly, obviously, in the metal and then having SLS as the, I think, a very innovative growth engine on the side is the portfolio that we want. So, I'm happy with that. Clearly, I'm not happy yet with the performance across the portfolio. So, ANZ performance very resilient, very strong NAM performance, particularly in the first half of this year and the second half of FY '23, not happy with that performance. And that's why we've put in place the changes that we have put in place. I believe it's the right strategy for us. I think the focus that will provide that we no longer have the U.K. business is going to be extraordinarily beneficial and it's now time for us to firstly continue to deliver the changes that we've put in place, and they are yielding results. As you can see in the second half improvement and particularly the fourth quarter of that second half. Yes, so I think it's the right portfolio for us and now time to make the improvement -- now time to continue to deliver on the improvements that we've already put in place.
Daniel Kang: And secondly, Stephen I guess part of the issue [Technical Difficulty] business has been China's, I guess, peak steel, if you like. How do you think about that going forward if we do sit in a position where it's a prolonged I guess, the supply situation and they continue to export low-value steel.
Stephen Mikkelsen: Yes. So let me make an overriding comment, and I'll get Rob to comment in more detail given is in that market every day. I mean I guess the overriding comment is in terms of the market itself, if China continues to export steel, there is nothing we can do about that in and of itself. What it's about is how we make ourselves more resilient to that. So, maybe with that, I'll get Rob to talk about his view on China and where we see them going with our billets. It's our view, China will do what China does. And then maybe the type of things that we're putting in place to make ourselves more resilient around continued China depressing the global steel prices.
Robert Thompson: No doubt, with China's increase year-over-year, it's putting a lot of pressure both on a semi-finished and finished product supply base. What we're experiencing right now is it's -- there are countries, in particular, the North American continent is pretty much a no-go zone for China at this moment. The rest of the world is slowly but surely coming to the table with either countervailing duties or anti-dumping. At least some thoughts, India has definitely moved in that direction. Other countries are looking at doing that. As you know, and probably are asking for this reason, they're very iron ore-based steel-producing industry in China. The countries that we continue to support are scrap-based industry and they are dealing with those problems. Our way of dealing with that is really in our sales diversity and optionality. We're not only selling more scrap in domestic markets, but we're also looking at new markets for us to be able to diversify and pivot when we need to and circumstances like today.
Operator: Your next question comes from Owen Birrell with RBC.
Owen Birrell: Just a couple from me. Just firstly, I just want to understand what happened in end of May into June that saw you beat your guidance so materially. Back in May, you mentioned that the second half EBIT would be slightly lower than first half EBIT. But in the space of, call it, what, 6 weeks afterwards, there's been a material beat there. Just wondering what you've seen in the market, I guess, as an exit run rate that has meant that you've beaten so much this result?
Stephen Mikkelsen: Yes. I think if I go back to those early May days and you look at the component parts, we were seeing in the second half, SA Recycling and ANZ, we're going to have a weaker second half, we saw the U.K. and NAM having a better second half off a very low base. So, let's not forget that. Really, the major difference that happened was that the performance of ANZ in that last 2 to 3 months. Now bear in mind, in May, we still -- even in early May, we still haven't seen the full results of ANZ. There's still whole things around revenue recognition, particularly when it comes to non-ferrous and I need to stress that, that non-ferrous when you've got hundreds and hundreds of containers on the water all with different legal obligations as to when ownership passes and therefore, when you can recognize revenue, you are having to make guesses as to when that will or will not happen as you get into the year-end. As it turned out, ANZ did very well in non-ferrous in that last quarter and we weren't anticipating that level. Rob, if you want to add any more color, but I don't think it's -- I don't -- my view is it's not in a simple understanding, not a simplistic understanding, but in a simple understanding, it was ANZ and particularly around how last quarter non-ferrous. But Rob, any other color, just please add.
Robert Thompson: I think you covered it, Stephen. I think there was just a better result than anticipated at the time we made the announcement.
Stephen Mikkelsen: Yes. I mean the other thing I would add to that, Owen, is we were anticipating some green shoots, particularly out of NAM and delivering a better second half and in particular, better fourth quarter and that came to fruition. So that was pleasing.
Warrick Ranson: I think the other thing is like the price change that we saw in the non-ferrous was really that sort of main during period in terms of that uplift. So...
Stephen Mikkelsen: It definitely helped.
Owen Birrell: Okay. And I guess the reason I ask that question is because looking into the, I guess, some of the building blocks as we move into the first half of '25. So, the underlying environment looks like it's slightly improved as an exit run rate for this part. Can I just ask in terms of the $60 million of -- roughly $60 million of annualized improvement that you've achieved so far, can you give us a sense of what the impact was during the half? Like when -- I guess, how much of the $30 million in EBIT was contributed by the improvements? And then just secondly, the $15 million to $20 million of additional improvements still to come, should we assume that they will come in the second half -- in the first half of '25?
Warrick Ranson: Yes. So, we picked up -- so most of the changes that we put into the organization happened from around about February. So obviously, we've annualized those in terms of that total savings projection. And on the cost waterfall, you'll see that net of some exit costs, we've sort of -- we've banked about $17-odd million in the half. And then yes, definitely, the $20 million is a minimum for us in terms of what we need to do going forward, we're definitely not comfortable with where we're currently sitting.
Stephen Mikkelsen: I would underline that, Owen. Yes, I think we've done a good job in simplifying the business and removing some costs as a result of that. But it's -- I'm still worried, inflation isn't under control in the economy generally, certainly, in our expense categories, energy, waste disposal costs, they're all increasing more than inflation. So, we would have an ongoing continuous improvement focus on addressing all costs and continuing to get costs out of the business. I don't think it will be the -- effectively the big bang thing that we had to do to jolt costs down. But we have to keep them on a contention proofing and making sure that we at least try and combat the inflation that's coming into the business.
Owen Birrell: Okay. Just one sneaky final one, if I may. Sims Resource Renewal, can you give us an update on any commercial progress you've had with the pilot? And is there an option to roll this out commercially at any site in the next 12 to 18 months?
Stephen Mikkelsen: Yes. So, I can. So, SRR has now successfully run a pilot a test run. So, we have used our shredder residue up there in a batch, not in a continuous process. But in a batch, have run it through and produce syngas and that syngas is of sufficient quality that it could then further process be used to produce methanol and ultimately, olefins and therefore, back into plastic and that would completely close the loop. If you think a car right now, car is about 70% recycled and that's all metal. This has the potential for the final 30%. That is very much for the future. There is no prospect of a commercial rollout of that in the next 18 months. The next stage of that project will be running it for period of about 1 month and then that will show that not only does it produce the syngas which we've proven, but it's capable of producing it reliably. The ultimate commercialization of that is not something for Sims. It's -- frankly, we don't have the manufacturing in Australia that would require either methanol or olefins, it will be commercially rolled out into the U.S. And that is -- I think I've said this before, that type of funding commitment is not a Sims commitment, we would be moving that. We would be moving that project into the type of companies that have the chemical process and capacities, et cetera, et cetera, to do that. So, SRR will come to a natural conclusion at Sims following the proof of a 1-month continuing running of the plant.
Owen Birrell: Just on that, I know you're not going to sort of commercialize it yourself, but can you give us an update of what your landfill costs are at the moment?
Stephen Mikkelsen: Yes. They vary by state. I'm looking around the table, does anyone, obviously, they are not that significant in the U.S. and it's not the U.S. It was the U.K. and Australia, where they were much more significant. We're no longer exposed to the U.K. It's in the -- depending which state, I think it's in the 170 to 180 -- 120 to 180 mark, depending on what state you're in. But let me come back. I can come back because that's publicly available number. So, I can come back and provide you the actual landfill cost by state.
Operator: Your next question comes from Lyndon Fagan with JPMorgan.
Lyndon Fagan: Look, just turning to your recent acquisitions on Slide 15. Obviously, that introduces a bit more complexity. But I'm just wondering whether you can comment on what you expect the sustainable EBITDA uplift through the cycle is from all of that?
Stephen Mikkelsen: Yes. Okay. Let me start on that because that is a much more complicated. That was a very complicated question. We -- the first thing I would say is that we are fully integrating these businesses into ours. So in some ways, we only really talk on these calls now around Baltimore Scrap, Northeast Metal and ARG. They're just part of the Sims portfolio now and the benefits of those acquisitions are coming through operating cost reductions across what the assets that we acquired, plus operating cost reductions in our existing assets. We're optimizing the shredders that we've got. We're optimizing the shares that we got on those acquisitions. So, it's getting more and more difficult to say that, that is the EBITDA uplift attributed to those set of assets in Baltimore Scrap or those set of assets in ARG because a lot of the benefits are sitting in the whole portfolio now. What I would say is that we -- in the long run, we -- our minimum hurdle rate is a 15% IRR and we still have to achieve that 15% IRR. So, if you take the purchase price of those assets and get a 15% IRR, add back EBITDA, that is the type of returns that we are targeting on those assets that were purchased, it just might not all sit with that asset and some of it will sit in the rest of the business. But on a -- if you compare it before and after over the medium term, that is a sort of improvement we're expecting to see.
Lyndon Fagan: Okay. And just a follow-up, given how much the portfolio has changed in recent years, I'm wondering, can you comment on what the sustaining CapEx is now for Sims in a sort of equilibrium environment?
Warrick Ranson: Today, Lyndon, it's around about the sort of $180 million to $200 million.
Lyndon Fagan: So, I guess what I'm getting at is we're in a depressed market at the moment. Is the sustaining CapEx today reflecting that? Or is it fully loaded in terms of what you would expect going forward?
Warrick Ranson: It's fairly well fully loaded. I mean, we could always -- there's always a request for more from the operations. But I think around that $200 million level is pretty right.
Stephen Mikkelsen: And that includes maybe a bit of environmental CapEx that is going to be required in the next couple of years, which will taper off after that. And clearly, to every year, when we look at CapEx budgets, we look at it in the context of where the year is at. And you'll see, I think we've had a reasonably good history of keeping CapEx appropriately timed to how well is the business doing.
Lyndon Fagan: And just a related follow-up. Once you get the UK sale proceeds, can you maybe just drill down a bit further in how you expect to use that. So, what's the growth CapEx for '25? Where would you like the balance sheet to be? And then, I guess, what is then left is perhaps what you'd call excess capital that you can think about returns with?
Warrick Ranson: I think, well, as I said before, the priority will be to pay down the debt levels and give us some flexibility there. Our growth in '25 is currently very much focused on incremental activity. So, more around product quality and improving our overall productivity output. So, we don't have any sort of major sort of expectations in relation to that, so -- and then yes, as I said when I went through the slides, we are cognizant of the need to also think about returns to shareholders.
Operator: Your next question comes from Paul McTaggart with Citi Group.
Paul McTaggart: So, I just want to single back to the U.S. because remember, last half, we talked about the NAM business, we talked about the need to reorient that business to -- because the problem was export prices outside of the U.S. lower than domestic. And of course, things have swung around the other way a little bit now. And you did talk about wanting to kind of redirect those tonnes to the domestic market and I can see there's been some shift. You talked about spending money, not big looks at capital but spending money around developing yards, et cetera. Can you give us a sense now that things have switched in terms of the pricing, is that still an -- are you still looking to do that? Or is that strategy shifted a little bit? Or as you were saying, you're just looking to have optionality around [Technical Difficulty]?
Stephen Mikkelsen: Yes. It's a good question, Paul. So, let me make it clear. Our strategy hasn't shifted one iota. We need to have more domestic optionality. We need to have the ability to direct stuff domestically. And we got caught out previously and we didn't when there was those quite large price separations. So that strategy hasn't changed, but tactics will always change. And I think what we've shown is that you're dead right, as we went into the year-end, the half year -- sorry, our full year in June, there was more value in the export market and therefore, we did export more. Having so, I think tactically, you will always see us look to optimize under an overall framework of we believe that in the medium to long term, the domestic market in the U.S., particularly for shred, the domestic market is going to be the main market, just given the amount of EAFs that they are building. So, we need to continue to have that domestic optionality, including good relationships with the domestic players. And those good relationships will be around looking through the cycle and I'm now talking export domestic cycle so that we provide in a sense, an agreed volume at a fair market price, so that we have that nice base load in the domestic market. And then on top of that, if the export market is better, then it will flip to export if the domestic market is better, we'll flip to domestic. So that strategy hasn't changed. It's around having a solid baseload exposed to what we believe is the market where the large part of that scrap is going to end up. But maintaining the optionality to use our export facilities. We've got great docks that can either export or can be used to send domestically by barges or rail or truck, whatever it happens to be. So, I guess what I'd say in summary, strategy hasn't changed one iota. You should expect our tactics in any given month or quarter to change, reflecting market conditions.
Paul McTaggart: Have you spent the money you need to spend in sort of putting in that domestic?
Stephen Mikkelsen: Yes. I'll get Rob to how do you feel in terms of rolling out that domestic optionality Rob, how far down that process do you think we are?
Robert Thompson: Yes. I'd like to use the word optimization. So, we're keenly looking at the data points on a daily basis. We've made a lot of progress in really the supply chain, again, the drayage costs, we've renegotiated all of our freight to ports with containers. We've identified certain locations in certain parts of the country that we operate in where we'll be better off not consolidating at our docks, using containers now. We have that flexibility. We've developed that over the last 6 months and then some. And as Stephen said, it's a constant ongoing question of the best use of the equipment that we have and what Warrick answered earlier is where should we be investing money, whether it's on extending our rail sidings and railcar equipment and those sorts of things.
Stephen Mikkelsen: I think in summary, Rob, we wouldn't view this as an overly capital-intensive. We've spent -- most of the capital we've spent we've needed to spend we have spent. And there may be some marginal bits of capital if we have to improve rail sidings or whatever, but...
Robert Thompson: Capital, if any, at all, but no, there's been progress made there. And yes, as Stephen said, it's about optimization, though.
Stephen Mikkelsen: So Paul, I think -- I mean, it's a good question. I think the specific answer is that we believe we've spent most of the large -- you need large CapEx to do it and it's kind of incremental now on.
Operator: Next question comes from Chen Jiang with Bank of America.
Chen Jiang: Stephen and Warrick, congrats on a strong second half FY '24 EBIT beat on your own guidance provided in May. A few follow-up from me, please. So firstly, from your answers given to some questions earlier, is it fair to say you beat your own guidance given in May because you didn't expect the non-ferrous scrap prices to increase in the fourth quarter, which helped your trading margin? And then the strength in the non-ferrous prices, is that something structural, sustainable or it's just linked to the primary metals prices, such as linked to aluminum and copper prices?
Stephen Mikkelsen: I'll let Rob answer the second question. I'll answer around increase in non-ferrous prices and do we think it's sustainable. Specifically, to your first question, again, it was ANZ driven and with a bias, particularly towards ANZ did very well on the non-ferrous as we went into the year and better than we expected. So that's -- at a very high level, that's what drove the beat versus what we were thinking back in early May. And Rob, maybe your thoughts on non-ferrous prices generally because they are strong. I mean I don't see them getting weaker, but your thoughts.
Robert Thompson: Likewise, without giving our crystal ball away, our view on demand for copper and aluminum remains very, very strong into the future with data centers and the need for copper, aluminum products, UBCs. So yes, China's economy right now has caused a little bit of a ripple, but at the end of the day, non-ferrous prices are at multi-decade highs. So yes, we're still bullish on the non-ferrous.
Chen Jiang: Sure. So, it's still primary metals prices driven, I guess, from your answer?
Robert Thompson: Yes.
Chen Jiang: Okay. Cool. If we can go back to your business in U.S. the shortage scrap supply, which will increase your competition, as you mentioned, to -- especially to source the scrap will become more competitive. I'm just wondering in your presentation, you mentioned advanced data analytics, AI, et cetera. I'm wondering how much purchasing transparency you have in U.S. and also by looking at the second half NAM, North America Metals, the U.S. trading margin improved half-over-half, which is great, but your operating costs actually increased half-over-half. I'm just wondering how can we think of the operating cost into FY '25 given you have achieved some savings through your cost reduction program.
Stephen Mikkelsen: Yes, 3 parts to that question. Let me make a comment on the first and then I'll hand over to Rob to talk about those market dynamics you mentioned and then Warrick may be looking at second half costs. I guess our overall view is you're right, this scrap shortfall has driven continuity around the prices. In the medium term the sale price has to rise because if the sale price doesn't rise, the scrap arisings aren't going to come out. So -- and I guess we based that assumption on the significant increase, massive increase that's happening in EAF. So, that's an overall comment. Maybe, Rob, if you want to talk around the market dynamics in NAM and supply and how you're seeing it. And then Warrick come back and talk about those second half costs.
Robert Thompson: Yes. Competitive at source, no doubt. I think we've mentioned already, there's a -- with the aging of vehicles and durable goods, manufacturing, somewhat coming off for various reasons. That supply drought is causing a little bit of concern. That said, our strategy remains the same at source, value-added on process material. Our ability to process material at scale with the technology to separate and liberate non-ferrous metals provides us a good platform to continue to grow in a competitive nature. The differentiated value proposition in some of the products that we are now making very specific metallurgical products for end users, both in the aluminum space and the steel space also give us an advantage. So that's where we're headed right now.
Warrick Ranson: Yes. And I think, Chen in terms of the cost base, you've got to remember that we've picked up Baltimore primarily in there. And that's been a constant cost, if you like, through the balance of the year, whereas the uplift that we've been able to develop in our margin performance is really sort of only come to fruition through the last quarter. So, there's a little bit of a disconnect there between the sort of uplift in costs versus the change in margin. So, we'd certainly expect to see an improvement of that, particularly as we continue to integrate as Stephen has already talked about the Baltimore operations into the broader network around that area.
Chen Jiang: Sure. Just a follow-up. So, you mentioned the operating cost increased half-over-half driven from multiple transactions. I'm just wondering in your second half FY '24 results, how much integrated from the Baltimore transaction? I'm just trying to assess how much upside you have from that acquisition from volume and margin perspective?
Stephen Mikkelsen: Well, I think that -- and Rob, have you comment a bit, I think that upside is happening and it's part of the upside we're experiencing generally around our focus on margins, not volume. So, I think Baltimore Scrap is part of being optimized within the whole Sims portfolio, we absolutely expect to see better margins as we go into the first half of this year and then ultimately, the full year. But as Warrick said, I'm not expecting to see a cost increase. We're going to be very diligent on making sure that those costs remain flat or we can get them -- can we even get some costs out of the business so that the margin increase follows -- sort of flows through to the bottom line. Rob, happy, for any other, you want to add on to that.
Robert Thompson: Very simply, I think summarizing, we've really allocated a lot of the assets and the volume. We've analyzed the flows of scrap, optimize the New York-Pennsylvania region from Baltimore Scrap and extended those into the NAM existing footprint. The Baltimore, D.C., Maryland marketplace, we're quite happy, as Stephen said, with the market margin improvement that we expected.
Chen Jiang: Sure. But maybe a follow-up on your comments. If the margin not volume, why not volume, you just -- you acquired asset, there should be volume. From my memory, you mentioned like 600,000 tonne per annum of ferrous scrap, you have more scrap yards and processing facilities, why not volume?
Stephen Mikkelsen: Well, it's a classic volume margin trade-off, which is exactly what we've been trying to do. I'm not saying we've lost all the [indiscernible] in scrap volume, by no means, we've kept the substantial amount of us making sure within the whole portfolio, what's our margin, what's our volume to contribute to the highest EBIT. I'll be frank, if we just concentrated on that volume, I think we would be back where we were. And to increase your volume simply by paying more for the scrap, the market will have a reaction to that. And suddenly, everyone is paying more for their scrap and it's making sure that volumes are in the -- margins are in the business.
Warrick Ranson: And Chen, just remember that we've only picked up 7 months of Baltimore this year, so...
Operator: Your next question comes from Simon Mawhinney with Allan Gray.
Simon Mawhinney: Two questions at once. And I promise to spare listeners with pains of follow-ups. On NAM, the trading margin has improved and some of those outcomes on Page 13 of the presentation are very promising. The acquisitions that you mentioned, the Alumisource, Baltimore and Northeast Metals are contributing and at least one of them seems to be contributing to plan or better given the contingent consideration of $55 million in the cash flow statement. And then Warrick's presentation on Page 24 noted that the net operating costs were flat ex these acquisitions. And so all of those things are good, but North American Metals' EBIT performance has fallen $70 million underlying for the year. And I'm just trying to work out where the leakage is? That's my first question. And then the second question is on corporate costs. It would be nice to know what the run rate is into 2025, whether you've considered allocating those to your other operating segments and remunerating people based on those to get an understanding of whether they value the corporate cost functions or at least acknowledge their importance? And then also on the waterfall. I see incentive costs were up $23.8 million, $22.8 million, I can't recall, at a time when underlying profit after tax has fallen $200 million. If you could comment on all of that please.
Stephen Mikkelsen: Sure, Simon. Let me start with the margin performance and I'll let Warrick talk about corporate costs, including those incentive costs, which you highlighted there, which were actually not part of corporate costs, but he'll go through that. The leakage on margin over the whole year is all around the shortage of scrap and us out in the market, paying more for scrap to keep the volumes up and they ended up being profitless volumes. We then -- that we -- I've always talked about we did not pivot fast enough to that. We have now pivoted away. You're seeing we're not as obsessed by volumes, though volumes as a result have fallen and EBITDA has improved. It took a while for that to come through. I remember when we discussed it at the half year, we had the view that to fully get that margin back into the business, whether that was from buying unprocessed scrap from small dealers or competitors outright buying more from competitors, that was going to take us a while to get through. I actually think we're ahead of our plan on that because we absolutely saw that starting to come through in the fourth quarter and that's when -- that's what delivered our stronger second half. So, it really is around -- the leakage really happened because frankly, we spent too much time on volume and not enough time on margin, but we've turned that around in the second half. It's nowhere near finished, Simon. It's not like we're sitting back and thinking, yes, we've done that because it's green shoots. It's not completed. And there's many more things we will continue to implement to make sure that we drive more unprocessed scrap through the business because that's where we make our margin by processing. We've been shredding it, sharing it, it does doesn't matter. Just passing volume to the business is not -- has been profitable in the past for us. In fact, it's been highly profitable in prior years, but that's not the market we find ourselves in now. Maybe Warrick, I'll get you to touch on corporate costs and whether or not the business unit is fine and valued.
Simon Mawhinney: Yes. No, just to thank and acknowledge -- thank you for the answer. I mean offline, I would -- I mean I thought all of this impact would be in the trading margin, which improved funnily enough, but we can take that offline. But okay, thank you. Yes, Warrick.
Warrick Ranson: Okay. Yes, in terms of corporate costs and centralized functional costs, I think a couple of things, Simon. One is that, yes, we will continue to have the same sort of level of systems development costs because we're putting in a new weighbridge system, and it's something that because it's a Software-as-a-Service, we need to pick that up in as an expense. In relation to the balance of the centralized cost base, it's something that we're really cognizant of, particularly now that we're moving to the disposal of the U.K. So, there's a parcel of work that we've got -- we're kicking off now around what is actually that more reasonable run rate because with part of that business, part of our business, no longer there, we need to rationalize on a number of areas. So that's actually work in progress in terms of what we would actually expect to see in FY '25. In terms of the incentives, look, our incentive scheme is segment based. It's obviously a comparison to last year and that varied in terms of where we paid incentives. It reflects ultimately a partial achievement of targets by ANZ given their strong performance in the last quarter and the performance of SLS. And we also had some limited executive inclusion from retirements. So, that's all gathered in that.
Simon Mawhinney: Sorry, just a specific -- I said no follow-up questions, but I just want to make sure my questions are answered. What is the run rate for corporate costs leading into 2025?
Warrick Ranson: Well, we need to, leaving it...
Simon Mawhinney: With $50 million in the second half.
Warrick Ranson: Corporate and consolidated costs at the moment, it's -- it would be exactly the same in terms of the second half, but we need to rationalize that, as I said.
Simon Mawhinney: Okay. And then I mean, the incentives, it's not clear that any of your segments improved on an underlying basis, yet incentives were up and it happened at the segment level?
Stephen Mikkelsen: Yes. So at a financial incentive, SLS got all of its incentive and then some of it was up significantly more. And then ANZ did not achieve -- I mean everything, bear in mind, everything was -- from financial, everything was 0 in FY '23. No one got a financial short-term incentive. ANZ definitely got a partial achievement in FY '24, given their performance. So, that's -- those are the 2 areas that works in, but it comes off 0 for FY '23.
Operator: Your next question comes from Megan Kirby-Lewis with Barrenjoey.
Megan Kirby-Lewis: Just the first question on the strategy to continue increasing the volume of unprocessed scrap particularly into North America. I assume, I guess, there that you are cutting out the middleman or the peddlers, so just keen to know if you are seeing any response, whether that be positive or negative from your previous suppliers?
Stephen Mikkelsen: Yes. Let me get Rob answer that one.
Robert Thompson: Yes. It's a delicate question to answer. It's definitely a supply chain pulverization or an optimization that we are going through. So, it ranges from peddlers to demolition companies to auto wrecking portfolio adjustments. It's not an abandonment of any part of our portfolio, but probably a readjustment and markets do change. And -- but it is looking for the processed profitability rather than a wholesale margin that we've somewhat been more keen to have in the past.
Megan Kirby-Lewis: Okay. That's great. And then just a question on tax. And apologies if I missed something obviously in the materials, but just that underlying tax expense came in much higher than expectations. So, just if you could talk through the drivers there.
Warrick Ranson: Primarily the sale of LMS, we're taxed on the original cost base rather than the accounting base.
Stephen Mikkelsen: I think it's fair to say. I'm going to wander into territory, Warrick, but I think it's fair to say that once you -- on an ongoing basis, when you get rid of all of the noise, our underlying tax represents the rates -- proportion of the rates in each country. So, with a few permanent differences, so 30% in Australia. Was it in the...
Warrick Ranson: 23.5% in the U.S.
Stephen Mikkelsen: And I've forgotten, what is my native of New Zealand now. But those proportions and the profits in those proportions in those countries should be our underlying ongoing tax rate. There's some very funny accounting things happen this year whenever you sell assets.
Operator: Your next question comes from Simon Thackray with Jefferies.
Simon Thackray: Stephen, Warrick and Rob, just want to basically explore one of Paul McTaggart's questions earlier. Really looking at the details of the drivers of the sequential improvement in the trading margins of the U.S. Now, I take your commentary, which is helpful around sourcing more unprocessed scrap and buying less from dealers. But can you explain probably a little bit more operational detail perhaps for you, Rob, exactly what you did differently in the second half to access that pool of scrap and where the tuck-in acquisitions were included acquiring any dealers or others in the supply chain in North America in the half?
Stephen Mikkelsen: Yes. So I'll let Rob answer that one in detail. But I wouldn't make the overall comment that when you pull up -- when you buy a new business like Baltimore Scrap and you pull apart the trading margin and the cost, absolutely part of the trading margin in absolute terms is because Baltimore Scrap had a positive trading margin, but it also increased our cost. So, some of that trading margin improvement is just -- is simply because we've acquired Baltimore Scrap. What I really focus on is things like what's our trading margin percentage improvement and therefore, things like what's our dollar per tonne improvement, which normalizes its per tonne or percentage for those acquisitions. And we still saw that improve. So, maybe -- and we actually saw that improve quite nicely. So, maybe Rob to answer Simon's question, for those things outside just the straight, we got more margin in absolute terms because of Baltimore Scrap, what are the type of things that we've been doing to drive whether it's more unprocessed or higher margins generally.
Robert Thompson: It's been a wholesale operational effort, commercial and operational effort on just being a little more customer-centric, supplier-centric, if you will. The magic is really in taking the unprocessed material through our already invested asset base and liberating non-ferrous metals from commingled obsolescent scrap. And as you very well know, there's been an uplift in the motivation to do that from a decarbonated point of view, but also from the value point of view. We furthermore kind of are trying to separate ourselves from a product and use for certain clients. And that's on the sales side optimization, getting a premium for certain products, listening to the customer voice and understanding what their needs are and then providing a metallurgically suitable product for clients. And some of those acquisitions that were already mentioned have taught us how to do that at scale in a much greater way.
Simon Thackray: So if I was to separate it, Rob, though, I'm trying to get clear in my head, it feels like quite a big delta in performance. How much of that then is Baltimore Scrap versus the initiatives you're talking about in this half, the sequential half-on-half and including the volume?
Robert Thompson: Very little from Baltimore Scrap. Other than Baltimore Scrap, as an acquisition, we're very much at source through the shredders already when we acquired them with 4 shredders and 8 feeder yards already.
Simon Thackray: Right. And you mentioned delicate issues. I can understand that. So, somebody clearly in this process loses out in the supply chain. I presume I'm assuming that is the dealer in the traditional supply chain. You talked about peddlers and auto wreckers and construction demolition and sourcing more unprocessed scrap. So, is it the dealer network? And on that front, how much therefore now is actually coming from the dealer network versus other sources for ferrous?
Robert Thompson: It's delicate. It's broken eggs, no doubt. And the delicacy is that it isn't -- as I said earlier, it's not an abandonment of any portion of our portfolio. But as you say, it really is re-optimization. Dealers are in different magnitudes, and we can classify them as A, Bs and Cs and however low you want to go down to a peddler, et cetera. So, it is buying scrap at source, at scale, very similar to our JV partners at SA, from peddlers all the way up to larger dealers. But that mix in our portfolio has dramatically changed and that's how you're seeing these margin improvements.
Simon Thackray: And then given your comment about the access to the non-ferrous feed and the pricing, I think, Stephen, you called out the performance of ANZ on non-ferrous in May and June. Just to simplify for everybody on the call, what -- so in terms of where the guidance was in May versus where you've delivered the numbers, just what's the contribution of the higher non-ferrous pricing in the second half towards overall profitability of the business?
Stephen Mikkelsen: I don't have that number off the top of my head, but what [indiscernible] the number, but clearly, with high non-ferrous prices, high -- really good solid Zorba prices, the amount that we liberate material, we've got good quality shredders. We have good quality downstream separation processes as well, it's significant. Zorba, copper, ferrous, it's always a good contributor. But it's not solely there. I mean we absolutely -- and going back to Rob's comment around dealers, I think it's large dealers in particular that are the most impacted because they tend to just have processed material. So, not buying that or and I think it's worth stressing this, Simon, we're happy to pay it at the right margin. But we've got fantastic facilities to export this whatever needs to be done with and we need the right compensation for that. We don't get the right compensation then we won't buy it. So that is also a contributor. But it's not all the eggs in one basket. This is not just a non-ferrous-driven thing. Non-ferrous absolutely helps, but that's -- we're good at that, particularly when we process it.
Warrick Ranson: I think at the margin level, we picked up around about 20% half-on-half on the non-ferrous increase in terms of...
Simon Thackray: No, that's helpful, Warrick. And then just finally, noting the SLS improvement and your comments earlier, Stephen, that the business is still considered core. Just a question, is the greater value extracted elsewhere in the portfolio by realizing value for SLS? I mean, will it be core given the work that still needs to be done in the U.S.? And why wouldn't you consider deploying capital to that region by recycling it out of SLS?
Stephen Mikkelsen: Yes. Look, there's always -- you would never say never. I mean, there's always a price for everything. I mean, everything is for sale at some point. My point is that it's not a distraction, it's not a distraction for management. Ingrid Sinclair who runs that business is an excellent Vice President of that business and has got that team humming. We see further growth. It's not -- I don't think it's miles away from our core business in the sense that it's taking equipment -- it's taking material that's come to an end of its life and either repurposing or recycling it. So, I just think it's too early, Simon, if has to be blunt. If it was consuming all of our time and it was a massive capital investment, I would be much more hesitant. But it feels like it's an opportunity where clearly, SLS does it very well at it. Is it going to be a core business in 5 or 10 years' time? That's too long for me to be saying.
Operator: Your next question comes from Scott Ryall with Rimor Equity Research.
Scott Ryall: I just want to continue on the U.S. for a second and I appreciate the first half over second half improvements that you've presented in the pack. That's really helpful to see some of that. But I guess the first half was really poor. Fiscal '23 was not a great year. And so I'm just trying to get a sense around how far down the path we are to improvement. So, if I look at your reference to the appendix, so Slide 41 is what I'm going to talk to. Your dealer sourcing in NAM doesn't look too much different between the first half and fiscal year '24. Unprocessed has picked up, as you said, but still the SAR and ANZ businesses show that -- where the price is, I guess, for that. So when -- I guess, if you're talking about improvements to collection and potentially the network you need to have the incentives which you've put in place and they take a while to drive behavior change, I would have thought. You haven't talked a huge amount on this call about low copper shred a little bit, but obviously, improving the quality of products and getting closer to your customers takes a little while as well due to testing and things like that. So, how long do you think it takes you to turn around? How long before the NAM business is really humming, I guess? And leaving aside obviously, the macro headwind. So, I'm just wondering when is it that your business is as good as it can be from your perspective?
Stephen Mikkelsen: Yes. Okay. A couple of comments from me and at the end, anyone around the table, feel free to jump in. The pie charts, I think, are useful, but they don't show in granularity improvements. I mean they're just high level, which is why we pushed them to appendix and went back and showed some more granularity on the slide, I forget the number of the slide where we showed the second half, first half improvements. But what the pie charts were very useful of doing when we presented them back in March -- in February, now answer your question was that that was very good at showing the stark differences between ANZ and SA Recycling as a clump versus NAM. I said at the time that I felt our path to solving our domestic export optimization was 6 months to 12 months. I'm going to say I think I think we're ahead of schedule on that. It's still not complete. We're sort of maybe 7 or 8 months into it, but I don't think it's going to be 12 months. I think we really have improved our relationships. We've improved our ability to get product to either domestic or export in a significant way. We've always been fantastic at export. We've now got ourselves pretty good at domestic. So, we just need maybe a little bit of improvement there. I also said at the time that the whole issue around margin was more of a -- that's -- what's going to take some time, and I said I felt that, that was a 2-year program. We're now 7 or 8 months into that 2-year program, and I'm feeling that we've made significant progress. Nowhere near satisfied. No one is and we know we've got to continue to make more improvements. But it is improvement that's further embedding what we have put into place, the use of data analytics, the clear understanding of our customers' needs and the customers' customers needs, making sure that we can get people in about -- in and out of our yards in a safe and efficient way. Right now, we do it in a safe way, but I don't think -- do it in the most efficient way. So, those types of improvements. It will be putting more margin into large dealers. All of those types of things, we are still -- are ongoing. I'm still feeling confident around the 2-year time frame. But I think you -- so another 18 months or so to go, maybe a little less, but I think you made a very valid comment. It will be in context of whatever the market is at that time. And what I think we should be looking to see is there's not the big difference between -- let's look at the 2 businesses we control with the same people. There's not big differences between ANZ and NAM that we're currently seeing. ANZ's got a great position in the market. It's established that position over many, many years. And we now need to get NAM more along those types of characteristics. The team that delivered ANZ is also part of the team that can deliver NAM. I think it's in that 18 months from now time frame.
Scott Ryall: Okay. And then unless anyone is going to jump in with the extra -- my second question is having sold the U.K. business or going towards selling the U.K. business, could you just explain to me what you feel like the strategic merit of having Australia and the U.S. under the same umbrella is, please?
Stephen Mikkelsen: Yes. So we sell into the same global markets, whether that be ferrous for non-ferrous. So, I think there's absolutely strategic merits and understanding where the global markets are at. So therefore, where our pricing is at. I mean, we also sell SAR's ferrous into the global market. So, there's obviously some strategic merits there as well. So, I think while the markets are going to become more regionalized, there will absolutely still be scrap that is traded on the seaborne market and to have whether that be into Asia, into Turkey, into South America, into the Middle East generally, to have that global focus, I think there's absolutely strategic merits in that.
Scott Ryall: All right. And then my last one, if it's not too cheeky, in the half year in New Zealand, you signed a contract with BlueScope to enable them to move towards an EAF or part of their production at the New Zealand steel operations. Could you just talk to the way you have to think differently about that in terms of term pricing mechanisms, those sorts of things, please?
Stephen Mikkelsen: Yes. I'll let Rob answer that question. I mean, my overall comment is we're very happy with that transaction. We've always worked well with BlueScope. For many, many years, we've had a great relationship. And I mean, overall, it's obviously going to change the way scrap moves. I mean, there's going to be less exported from New Zealand. But maybe, Rob, to the extent you can, because I'm very conscious that there's -- it's an agreement with a customer and we need to honor the confidentiality of that. But to the extent you can, broadly speaking, how is it working?
Robert Thompson: Yes, I would say on a 10,000-foot level, it's not a big change from our relationship. It's obviously broadened somewhat with the expansion of their steel production to an EAF. We're quite happy without saying too much with the fact that it's quite self-hedged in the local market with the buy/sell and we're looking forward to the expansion.
Operator: Your next question comes from Rohan Gallagher with Jarden Group.
Rohan Gallagher: Conscious of time and most questions being asked, I'm happy to defer, gentlemen.
Stephen Mikkelsen: Thanks, Rohan. Appreciate it.
Operator: Your next question is a follow-up question from Simon Mawhinney with Allan Gray.
Simon Mawhinney: Rohan has made me feel very guilty. But in ANZ, Stephen, most of the metrics that you flagged on Slide 9 are going in the opposite direction to the ones you want and to where NAM is hopefully coming from. So, more processed scrap, more non-dealer sources and more exports. Is there something to be concerned about?
Stephen Mikkelsen: No, it's not Simon because it's coming -- I think it's coming off a very high base. So, I would view those movements. And again, if you look at -- compare them to the pie charts on 41 in ANZ.
Simon Mawhinney: Yes, you can't see it.
Stephen Mikkelsen: No, but look, they already start off at a very high position of unprocessed and a very high position of non-dealer. It's market noise. It's the swings and roundabouts of the ANZ. I wouldn't be concerned about it. That chart there was more to show that, NAM admittedly coming off a low base is making the improvements that we need.
Warrick Ranson: I think the other thing, Simon, is we were down a shredder in Victoria for a while.
Simon Mawhinney: Okay, thank you.